Operator: Good morning and welcome to the Altus Power Second Quarter 2022 Conference Call. As a reminder, today's call is being recorded and participants are in a listen-only mode. [Operator Instructions] At this time, for opening remarks and introductions, I would like to turn the call over to Chris Shelton, Head of Investor Relations. Please go ahead, sir.
Chris Shelton: Good morning. And welcome to all of investors and analysts. Speaking on today’s call is Lars Norellco, Co-Chief Executive Officer; Dan Alcombright, Chief Platform Officer; and Dustin Weber, Chief Financial Officer. In addition, Co-Chief Executive Officer, Gregg Feltonco, will be joining us for Q&A. This morning, we issued a press release and a presentation related to matters to be discussed on this call. You can access both the press release and the presentation on our website, www.altuspower.com in the Investor section. This information is also available on the SEC's website. As a reminder, our comments on this call may contain forward-looking statements. These forward-looking statements refer to future events including Altus Power's future operations and financial performance. When used in this call, the words aim, believe, expect, intend, may, could, will, should, plan, project, forecast, seek, anticipate, goal, objective, target, future, outlook, strategy, vison and similar expressions as they relate to Altus Power as such identify the forward-looking statements. These statements are subject to various risks and uncertainties and are based on certain assumptions and those could cause actual results to differ materially from those predicted in our forward-looking statements. Altus Power assumes no obligation to update these statements in the future or as circumstances change. For more information, we encourage you to review the risks, uncertainties and other factors discussed in our SEC filings, specifically our 10-K filed with the SEC on March 24, 2022. During this call, we will also refer to adjusted EBITDA and adjusted EBITDA margin which are non-GAAP financial measures. Our management team uses these non-GAAP financial measures to plan monitor and evaluate our financial performance and we believe this information may be useful to our investors. These non-GAAP financial measures exclude certain items and should not be considered a substitute for comparable GAAP financial measures. Altus Power's methods of computing these non-GAAP financial measures may differ from similar non-GAAP financial measures used by other companies.  More detailed information about these measures and a reconciliation from GAAP to non-GAAP financial measures is contained in both the press release and the presentation we issued today.  Finally, our speakers today will reference our second quarter slide deck during their prepared remarks. We are providing this information to assist you in understanding certain of the financial information we will be discussing today. And with that, I'm pleased to turn the call over to Lars Norellco, Co-Chief Executive Officer of Altus Power. Lars?
Lars Norell: Thanks, Chris. And welcome to the investors and analysts who have joined our call. I want to start this morning with our financial highlights, which you can see on Slide 3 of our presentation. We're pleased to report that during the second quarter, we continued to execute our business profitably. We recorded revenues of $24.8 million, which combined with our efficient cost structure led to adjusted EBITDA of $13.9 million and a 56% adjusted EBITDA margin. Our financial performance puts us on track to fully achieve our 2022 adjusted EBITDA guidance of $57 million to $63 million, as well as adjusted EBITDA margin in the mid-50% range. We are focused on profitability at Altus Power. And we're proud to have been cash flow positive since 2017. It's crucially important to us that we maintain our profitability even as we position to rapidly scale and grow our business. Equally important to Altus Power are the environmental benefits of our solar plus storage assets, which we generate on behalf of our stakeholders each and every quarter. During the second quarter, we sold 137 megawatt hours of clean electricity to our customers, which avoided almost a 100,000 equivalent metric tons of carbon when compared to carbon intensive utility power. Measuring over the first six months on behalf of our customers, we have avoided almost 160,000 metric tons of carbon equivalence. According to the Environmental Protection Agency, that's equivalent to the annual electricity consumption of over 30,000 homes, or the gasoline used from driving almost 400 million miles. The environmental benefits of our solar and storage assets often feel direct and magnified because they are typically customer-cited. It's important to Altus Power and our stakeholders that we educate and amplify for the market, the solar plus storage benefits we generate and how they are foundational to our own high ESG standards. To this end, we recently issued our first sustainability report on the ESG section of our website. And you can see the cover on Slide 4. While we've only been a public company for seven months, our team was resolute in issuing this initial report, showing how we currently stack up on the environment, social and governance metrics. We hope you will review this report in detail. And we expect to issue our sustainability report annually going forward, building on our commitments. Before heading into our company updates I would like to comment on the Inflation Reduction Act, which we believe President, Biden will sign into law shortly. The provisions in the bill will grant our industry at least 10 years of federal support in the form of investment tax credits that allow us to plan for significant long-term capital investments. We expect the bill to not only enhance the economic argument for commercial-scale solar, but also to accelerate the rate of addition of battery storage for our existing assets. The bill also includes significant incentives for the build out of community solar, which we believe expands our addressable markets substantially. We look forward to engaging with our customers on the benefits included in the Inflation Reduction Act. Now, I want to discuss several important topics for our business, starting with an update on our pipeline. Our current portfolio of operating assets followed by our progress on building out our team here at Altus. As part of this discussion, our Chief Platform Officer, Dan Alcombright, has joined our call to discuss how his team has begun to leverage CBRE's Project Management Team for efficiency and scale. After that, I will provide some commentary on our supply chain and the expected impacts of continued energy price inflation for our company. Finally, we'll hear financial highlights from our CFO, Dustin Weber, before taking your questions. Starting with the update of our pipeline on Slide 5, which remains over one gigawatt in total, looking first at our pipeline of operating asset acquisitions represented by the pie chart on the left hand side of this slide. We continue to progress on over 500 megawatts of individual assets or portfolios of operating assets. This quarter, we've updated our disclosure to show how we're moving assets through the pipeline in our efforts to add them to our operating portfolio. Since our first quarter call, we have been seeing a significant increase in acquisition opportunities, and we are pleased with the progress we are making in terms of executing on these transactions. We currently have approximately 20% of this portion of our pipeline in the closing stage. And we are an active negotiation on terms on another 61% of this portion of our pipeline. Moving now to our development pipeline on the right, during the quarter, we were able to move a significant number of megawatts out of the engagement stage and into the more advanced contracting and construction stage buckets. You can see the progress in our pie chart compared to Q1 with a combined 19% increase in the later stage buckets of contracting and construction. Our ultimate focus is to move all of these development assets into operation, generating clean electricity for our customers. We look forward to showing you additional progress on all three buckets of this portion of our pipeline on future calls. Moving then to our operating portfolio on Slide 6, we finished the second quarter with 369 megawatts, including new clients and assets added from both our development and acquisition pipelines during the quarter. These new assets were added within our current footprints, which includes 18 states across the country. While we continue to contend with a challenging environment, as it relates to sourcing of components and general construction timelines, we are pleased that our construction activity, as well as pre-construction and development activity continued to progress with assets moving towards completion. We look forward to adding their generation capacity to our portfolio either late this year or early in 2023. This brings me to one of the themes that we want to highlight in the current period. We are very focused on allocating resources to the build out of our engineering, construction and fiscal asset servicing team here at Altus Power, which we illustrate on Slide 7. We are prepared for this moment for some time and the purpose is to increase our capacity to respond to the increased number of client engagements and the resulting increased cadence of assets, moving into preconstruction, construction, and ultimately operating phases. Maintaining in-house expertise across all of our teams is critical because we plan to own and operate the assets we develop or purchase for the life of their contracts and beyond. Exemplifying this build out capacity, this summer, we have welcomed new members to our development team, our construction management team and our energy optimization team. A critical piece of our vision to construct all of these megawatts at scale is CBRE's project management organization. In January, Dan Alcombright joined our team to streamline this relationship. As our Chief Platform Officer. Dan has 15 years of experience specifically in development of commercial and industrial distributed generation. His unique task is to take assets we've originated and make sure we properly leverage project management to drive permitting and construction. He has joined our call today to help describe what he believes Altus can succeed, where others have failed. Dan thanks for joining our Investor call today.
Dan Alcombright: Thanks Lars. I'm very excited to share how Altus Power will scale our commercial and industrial solar development and construction in a unique way to give us a competitive advantage and at the same time bring exceptional cost competitive service to our customers. Please reference Slide 8 during my commentary. My primary role as Chief Platform Officer is to create a nationwide clean electrification, development and construction platform with end-to-end services and coverage. Over my career, I've witnessed developers in the clean energy space builds significant and inflexible fixed cost structures consisting of regional construction offices, which ultimately from an overhead or cost perspective become harmful to their business. Workload at these single purpose captive regional offices is either feast or famine too busy or never busy enough. I joined Altus Power because I believe our relationship with CBRE and more specifically their project management team will provide locally sourced workforce in most locations across the United States. To that end, we have recently signed a master services agreement or MSA for short with CBRE.  Under the MSA we are actively developing clean energy projects from coast-to-coast. CBRE project management was built to execute a wide array of construction projects on a cost competitive basis as required by CBREs extensive client base. In the U.S. alone project management has 200 local offices staffed with 3,600 full-time professionals. This workforce currently handles over 35,000 separate projects for CBRE clients each year. What makes project management particularly attractive to Altus Power is that each of these 200 local offices have extensive experience managing projects for occupiers and tenants, real estate owners and investors across diverse vertical markets, including a strong resume of completed solar energy storage and EV charging projects. The critical advantage for Altus Power is that there's no fixed cost component or minimum threshold payment. We hire the local project management field office to execute a program of projects, and then disengage once those projects are complete. That in other way project management becomes a competitive variable cost to Altus Power, while avoiding direct investment in headcount, construction, assets, equipment or offices. This is precisely why I believe Altus Power has captured a competitive advantage to scale CNI, clean energy construction, where others may have failed in the past. That concludes my introduction to our currently nationwide development platform. I now like to turn the call back to Lars for additional updates.
Lars Norellco: Thanks Dan. We're incredibly fortunate to have Dan's expertise to leverage CBREs project management construction muscle on our behalf. Together we believe we can create a go-to-market organization that will be unique in throughput and ability to convert to client engagements into solar to storage operating and cash flowing assets. I'd now like to give an update on our supply chain. In May we welcomed the executive orders issued by the current administration in support of domestic manufacturing. We of course already support North American panel production under our agreement with Heliene, but we would like to see additional domestic production capacity. With regard to the delivery of modules from Southeast Asia we believe there's still some uncertainty among suppliers who want the full resolution of the department of commerce investigation or the U.S. LPA detention. With that said, we continue to see no issue with either our supply or pricing of modules. For assets we're currently constructing for the remainder of 2022 and into 2023. Moving now to the topic of energy price inflation on Slide 9. You'll see the substantial utility rate increases faced by commercial customers across to four states where a majority of our assets are located. We continue to expect further upward pressure as natural gas prices remain elevated compared to 2021 and these costs have not yet been reflected in the local utility rates. We continue to believe our solar and storage assets offer a tremendous solution for our customers to counter rising utility rates, which in turn will benefit our company and our stakeholders. Now I'd like to turn the call over to our CFO, Dustin Weber for additional financial highlights. Dustin?
Dustin Weber: Thanks Lars, and thanks to all the investors and analysts joining our call. You can turn to Slide 10 as I begin my remarks covering our financials. During the second quarter, we generated total operating revenues of $24.8 million, an increase of 41% over the second quarter of 2021 reflecting the growth of our portfolio over the last 12 months. Operating revenues for the first six months were $44 million as compared to $30.1 million in the first half of 2021, an increase of 46%. As previously discussed our variable rate contracts take up to 12 months to reflect the full extent of rising utility rates, but we have started to see the first signs of this tailwind in our second quarter revenues. Turning to adjusted EBITDA, which is a non-GAAP financial measure. This quarter we reported $13.9 million compared to $10.2 million in the second quarter of 2021, an increase of 37% year-over-year. For the first half of the year we generated $22.7 million of adjusted EBITDA compared to $16.5 million in the first half of 2021, also a 37% increase. Moving to our margins. Adjusted EBITDA margin was 56% for the quarter bringing our margin for the first six months to 52%. We've mentioned in the past that our portfolio experiences seasonality which couple with growth throughout the year results in more annual revenue weighted to the second half of the year. As a result we expect third and fourth quarters will generate a majority of our adjusted EBITDA as well as higher EBITDA margins. For this reason, we continue to anticipate adjusted EBITDA margins in the mid-50s range for the full year. Our GAAP net income for the second quarter total $21.6 million, which was primarily the result of a non-cash gain of $21.4 million from the re-measurement of our redeemable warrants and alignment shares. During the second quarter, the stock price decline which resulted in a non-cash gain. We would expect a reverse effect should the stock price increase in future quarters? Moving to our balance sheet, total debt at the end of the second quarter was $538 million. Our balance sheet remains well capitalized with $295 million of unrestricted cash on hand making our net debt figure $243 million. The primary use of cash balance in Q2 was to procure equipment for our projects under construction in the acquisition of a small operating portfolio in Hawaii. We plan to continue actively managing our capital structure to maintain liquidity and maximize capital efficiency. I also want to highlight the warrant exchange we announced during the quarter. We agreed to retire approximately 4.5 million or 44% of our outstanding public warrants in exchange for approximately $1.07 million Class A common shares or a ratio of 0.24 common share for each warrant redeemed. We believe this was an excellent opportunity to reduce future dilution from warrants which would've had higher redemption ratios if our stock price continues to increase. We will monitor for future opportunities to improve our capital structure and deliver value to our shareholders. In summary, we remain on track to meet our 2022 adjusted EBITDA guidance and EBITDA margin. We believe we'll continue to maintain ample liquidity to execute our growth plans. That concludes my comments. I'll now turn the call back to Lars for his closing remarks.
Lars Norellco: Thanks Dustin. I want to end on Slide 12 by reiterating the four reasons we believe Altus Power is the premier commercial scale, clean electrification company, one. We are the largest and only public pure play company in our lucrative and fast growing sector, two. We are EBITDA positive focused on growing profitably and equipped with the capital necessary to carry out our growth plan. Three, we have valuable strategic partnerships that we believe streamline our customer engagement. And finally four, we are vertically integrated making Altus the one-stop-solution for delivering savings and decarbonization benefits to our customers. We would now like to welcome your questions.
Operator: Thank you. [Operator Instructions] We have a first question from the line of Justin Clare with ROTH Capital Partners. Please go ahead.
Justin Clare: Hey, good morning. Thanks for taking our questions.
Lars Norellco: Good morning.
Gregg Feltonco: Hey Justin.
Justin Clare: Hi. So I guess first off just on the capacity outlook here you shared a lot more detail on your project pipeline, which is appreciated. It looks like you could close in the near-term on a 100 megawatts of project acquisitions? And then you're in construction or preconstruction on – it looks like a little more than a 100 megawatts. So I was just wondering if you could share a little bit more detail on the timing, when could those acquisitions potentially be completed. And then given the extension of project timelines we've seen recently, how should we be thinking about when the projects in construction or pre-construction could get completed?
Gregg Feltonco: Hey thanks Justin for the question. This is Gregg Feltonco. I'm going to kick it off with respect to the operating projects and then turn it to Lars to talk about the development pipeline. So regarding the operating acquisition pipeline, the 100 megawatts or so that you point out are in that closing category. You should assume that those are the asset opportunities that are very high certainty with a very near-term closing opportunity. We would characterize that timeline for that bucket to be approximately one to three months. And then I would also highlight of course, that we have a significant chunk of opportunities that are in the negotiation bucket, which is essentially assets we're looking to turn into closing opportunities, but there's a robust pipeline of operating acquisitions that we think are going to be able to be closed in the relatively near-term for the closing, and then moved into closing in the relatively near-term negotiation assets, but let me turn it to Lars for the development pipeline.
Lars Norellco: Thanks Gregg. And Justin, we understand of course that the awesome client engagement that we are experiencing right now with the volume of inbound to all of this from channel partners, Blackstone, and ultimately, and most of all CBRE is something we haven't seen before. And as we talked about during the prepared remarks, making sure that we have the structure here to prosecute all that deal flow and turn it into construction assets or in the case of operating assets due diligence and investing existing contracts. Ultimately that has to lead to having us turn assets into operation, and hopefully you can sense where're feeling quite confident about the fact that we're increasing these closing buckets on the operating side, the negotiation bucket on the operating side, and then increasing this construction bucket that you refer to and the contract negotiation bucket on the development side. The construction bucket is a mix of both assets that have been in construction for some time and are going to be turned on in 2022, a mix of assets that third-parties are building on our behalf and ultimately some assets that have just gone into construction that are going to follow the timeline that we previously communicated. So some portion of this is likely to be coming on in 2022, in fact, some of it in the near-term, and some is likely to spill in to 2023 on the 36% that's in contract/negotiation on the development side, some of that is more near-term construction projects where much of the work has already been done by a third-party, and we could see some of that come on in 2022 as well with the remainder coming in 2023.
Justin Clare: Okay, great. That's really helpful. Just following up on that, I was wondering if you could talk about the bottlenecks that you are seeing because I know in the past you had issues with securing transformers and then permitting an interconnection, I know has been a challenge this year. How are those things evolving today? Are you seeing improvement just to update there would be appreciated?
Lars Norellco: Yes, absolutely. And this is Lars again. We are in fact or indeed seeing an improvement. The bucket for example, on the development side of the pipeline at the 23% that's in construction, nothing can be in construction until you've actually received interconnection permission from the utility and received permitting from the local building department. So that bucket has a bunch of assets where people are in the field or on roofs building solar systems. We have gotten those systems into construction in spite of a backlog, both at the utility and a backlog at the building departments for purposes of securing interconnection and permits. But we've become – we become focused on trying to make sure that we scale our effort to take into account some of the delays that are sort of being presented to us both on the permitting side, but also interconnection side. We're also taking into account the scarcity of components and we are leaning in on basically ordering transformers, switch gear and other things to maintain effectively inventory of those materials so that we don't have to have each construction project be subject to new delays when it comes to sourcing. We've also been able to do a little bit of the signing around some components where we can effectively build a solar system using a different set components instead of that. So while they remain items to slow us down a little bit, we've basically become accustomed to some of them and are progressing with our system construction in spite of those delays.
Justin Clare: Okay. Got it. And then just shifting gears on the Inflation Reduction Act, it sounds like especially for utility scale projects the PTC might make more sense than the ITC. So I just wanted to check in with you on your commercial projects, would you potentially look at the PTC and if so, what would be the result of that in terms of your project economics? And then also on the IRA, there is a low income bonus that is possible to the either ITC or PTC. Can you talk about what that could mean in terms of an opportunity for you do you serve low income communities today, potentially with your community solar business and what could that mean?
Gregg Feltonco: Yes. So great questions. Thanks for that. Let me start with maybe the first, which was the PTC question. So to level set for others who are following it less closely, the market has historically for CNI relied on the investment tax credit. The investment tax credit has been the source of best economics in terms of government support for CNI as compared with utility scale as you mentioned, it's our expectation from what we've heard that PTC might be preferable for utility scale. We're not convinced that will be the case for the commercial scale projects that we're engaged in, but of course we'll evaluate that and see whether or not there's incremental benefits associated with the PTC when applied to CNI. As you also pointed out in the latter part of the question, there are significant benefits in addition to stepping up the ITC from 26% where it was prior to this imminent law change to 30%. So all projects that are constructed in 2022 and beyond will qualify for a 30% ITC, which we believe is very favorable. In addition to that, there are adders for a number of things, including low and moderate income offtake, and as it relates to that offtake, yes, we have a variety of projects that would qualify for the benefit of serving low and moderate income customers. As you may know, we're doing that already today, a significant portion of our pipeline, our community solar projects that are designed to service those customers. And there's up to a 20% additional ITC benefit when providing a majority of your project, community solar project to the low and modern income customer base. So as a reminder, when you look at our New Jersey sites that we've announced, our Maryland sites much of our pipeline is community solar, and we would intend to service those clients with those projects.
Justin Clare: Okay, great. Thanks very much. I will pass it on.
Lars Norellco: Thanks Justin.
Operator: Thank you. We have next question from the line of Chris Souther with B. Riley. Please go ahead.
Chris Souther: Hey, thanks for taking my question here. Congrats on the progress and the actionable pipeline and appreciate the updated color here. For that a 100 megawatts that's in closing is that, one or several transactions. Can you talk a little bit about geographies as well as the pricing atmosphere for completed projects, given all the inflation we're seeing on kind of new builds? I'm curious what the impact is there on, already operating projects.
Gregg Feltonco: Yes. Thank you. We're in general something that's important to highlight is we're focused on, and have the benefit of a pipeline of operating acquisitions that are bilateral in nature. And so if you looked at the deals that were both in the 20% bucket, as well as the predominance of deals in that 61% in negotiation bucket, we're talking about deals where we're bilaterally negotiating Altus and a seller. In terms of the mix we have sometimes some smaller acquisitions and some chunkier acquisitions. I'd say that we have a combination of both larger and smaller in both the closing bucket and the negotiation bucket. In terms of the jurisdictions these are tend to be multi-state opportunities, so portfolios that span multiple jurisdictions obviously we're looking to expand as our footprint from the 18 states today across more states. And I think the advantage that you also alluded to in terms of the operating acquisition relates to the tailwind that we're seeing that Lars referenced in his prepared remarks around inflation and electricity price inflation is something we continue to expect. So while we do underwrite to conservative assumptions, we are optimistic that that tailwind for electricity pricing is something that will benefit our projects as and when they have variable elements to them. And then finally, I'd add just importantly that there is a very large storage opportunity that we haven't yet talked about on the call, but the inflation reduction act for the first time includes a standalone investment tax credit for battery storage and that's significant not only as it relates to new projects, but also the opportunity that Altus Power has to look at its existing portfolio. What we have in operation today, what we expect to have in operation in the near-term and look to add storage to those assets over time. We've talked about the belief that many of our assets, if not all, should ultimately be paired with storage. And we think the ITC for storage does a lot to accelerate the adoption of storage in many more locations.
Chris Souther: Got it? Now that makes a lot of sense. And maybe just with the increased collaboration here with CBRE. It sounds like we're seeing good momentum with long-term agreement. So wanted to see if you could frame that master supply agreement within the pipeline and what isn't yet in the pipeline. Is CBRE kind of the big bump in contract/negotiation bucket, or is it really not being reflected to the full extent here yet?
Gregg Feltonco: Thanks. I think it's a little bit of all of the above. We are actually happy to have both CBRE and Blackstone in all three of those buckets on the 500 megawatts of project under development. There are some CBRE assets that are currently in construction. There's some in contract, and there's a lot in the engagement bucket and the same for Blackstone. I don't know if it's made its way through the Ether, but there was the press release issued this morning by CBRE investment management, which is the capital allocation vehicle and a large asset owner that inside of CBRE. They just announced that for 600 buildings mostly in Europe and the United States, they're going to work with us on about 200 million square feet of rooftop, which translates roughly into 2-gigawatts worth of solar. That type of engagement obviously is a multi-year effort. But that engagement just to mention one is not yet reflected in any of our actionable pipeline. Those are all things that are sort of behind the stuff that we're working on right now. And that's why we wanted to take some time and highlight the fact that our construction muscle in development of asset muscle is going to have to grow significantly which is what Dan is working on with to get it with CBRE. We are very, very excited about the flow, excited to have some of that flow found its way already into the in construction bucket, but more to come there.
Chris Souther: Got it. No, that's great to hear. And then maybe just last one, you talked a little bit about Inflation Reduction Act benefits for solar storage. I'm curious any update on the EV charging side, just love to hear kind of what your thoughts are as far as timelines for that starting to kind of kick off and become kind of a more meaningful piece.
Dan Alcombright: Yes, Chris this is Dan Alcombright. Thanks for the question. EV-charging and fleet charging is going to be a continued importance to our business. And as we look – as you know Altus and Trammell Crow signed a $600 million development agreement back in the second quarter. And working with CBRE, we are able to now look at adding not only solar to these buildings that are in development and in construction, but also adding storage and adding charging both for fleet vehicles and passenger vehicles. So in terms of the Altus DNA, the fleet charging and ability to bundle that into the solar and storage services is going to continue to be very important to us.
Chris Souther: Got it. Okay, I'll hop in the queue. Thanks guys.
Lars Norell: Thank you.
Operator: Thank you. We have our next question from the line of Stephen Byrd with Morgan Stanley. Please go ahead.
Stephen Byrd: Hey, thanks so much for taking my questions. I wanted to just maybe explore CBRE a little bit. The developments here do feel like kind of a game-changer in terms of accelerating growth and especially given the two gigawatts sort of announcement, I wondered if you could just talk a little bit more essentially about the pace of scaling up of your development efforts around that this new operations agreement seems like obviously the way it's laid out, you can leverage a huge resource space, but how quickly can you achieve that? In other words, as you think about this fairly vast opportunity set, can you give us a little bit more about the cadence of being able to scale up your efforts and pursue the kind of magnitudes that we're now talking about, which are obviously much greater than what you've done in the past?
Lars Norell: Yes, thank you, Steven. And that's exactly how we feel about it as well. And I believe that's how CBRE feels about it. And just to pause on that for a second, from our perspective, of course, the CBRE engagement offers untold opportunities to build solar storage and like Dan said, fleet charging. From their perspective Altus is now on their platform enabled to deliver exactly the kind of electrification of real estate that their investors, and shareholders and stakeholders are asking them to do. So it really is a win for CBRE to be able to come to us and immediately we provided execution. It's a win for us and our shareholders because it's a gigantic client that we're going to serve for many years to come. And it's a win for the tenants and the landlords that are part of this. We are all about execution. It is crucially important for us that these are not some plans that we're sitting around working on. We want to see action. And in the case of solar storage and fleet charging action means going to the utility and asking for an interconnection, going to the building department, asking for a building permit, placing orders, whether it's Tesla or LG Chem on the battery front and all the suppliers of modules and inverters, et cetera. So the agreements that Dan has already signed with the CBRE side on the project management side, the Master Services Agreement, the fact that we're ordering equipment that is going to go on to CBRE investment management’s roof. The fact that we are now as we've announced previously active in Europe, calling on utilities, seeking interconnection for buildings that CBRE investment management owns, whether it's in France outside of Paris or Germany or elsewhere, we want to see systems move into construction and then be able to communicate back to the market that not only is there a big forward here in game-changing, it's exactly how we feel about it, but we've begun the process of actually permitting and then building those systems wherever they might be. Dan, do you want to add something?
Dan Alcombright: Yes, so, Stephen just a couple of concrete examples CBRE has assigned a Senior Project Management Executive as Altus Power’s dedicated single point of contact. In addition we have established quarterly meetings with top CBRE executives to make sure that we're making the progress against the goals that we've established. Through the MSA with CBRE we're currently engaged on-the-ground with CBRE project managers to perform essential development services, including interconnection support, local permitting support, subcontractor review, and site visits to support diligence. And those are just some examples to name a few.
Stephen Byrd: That's really, really helpful color. Thank you. And then I wanted to shift over to the IRA. You did a great job laying out sort of the different elements that will matter for you. I'm thinking as we head into 2023 how you think about the more specific financial benefits to your company? In other words, as we think about these enhanced tax credits, et cetera, are you more bullish about essentially the returns and the margin that you get, or do you think of this more as it's not necessarily a medium term boost to margins per se, but just more of a boost to growth, and so the customer value proposition, how are you thinking about that?
Lars Norell: Yes, I think where you ended is exactly how we feel. There is a number of things that, I think, about this Bill that are hugely beneficial. First off, we have to call out the fact that it gives the industry ten years of visibility to a regime, a structure that is supportive and transparent. And as you know, we've worked with other previous incentive structures that have been shorter term in nature, and it's been harder to create longer term planning. When we think about what it means for the industry, we absolutely think it's an accelerant to growth, and it's an expansion of the addressable market opportunity. So there may have been markets you've heard us talk about before where the economics were maybe more marginal. We think about solar competing very well when there is a power price or local rec or some other element like production that ultimately makes these deals pencil in a way that is economical. If you add the benefit of the 30% investment tax credit and the benefit associated with other adders like domestic content, a 10% adder, like a low and moderate income offtake, a 20% adder or 10% adder, depending on the profile. These are things that we absolutely think will expand the market. And storage is going to be a huge beneficiary of this as well in terms of projects attaching storage in projects where previously the economics may not have made sense; certainly the other benefits of storage would have been there. But we think to the extent you are focused on the economic attributes that's an important ingredient. The beneficiaries we think our stakeholder is Altus Power. We think they are the landlords in terms of lease streams, we think that they are tenants in the form of discounted power or other offtake in the form of LMI offtake. So there is a lot of different beneficiaries, but we think in the aggregate, it should be thought of as an accelerant of adoption and an expansion of market opportunity.
Stephen Byrd: Great. Thanks so much.
Lars Norell: Thank you.
Operator: Thank you. [Operator Instructions] We have next question from the line of Ryan Levine with Citi. Please go ahead.
Ryan Levine: Good morning. Can you speak to how many employees you currently have and how you expect to grow that headcount over the next year and a half? And how important that is to be able to scale your business?
Lars Norellco: Hi Ryan, thank you very much. I don't know that we've gone out with precise numbers around the number of employees we have. The majority of our employees and obviously Altus has grown significantly this year are in the office in Stanford. But there is a significant chunk, perhaps a quarter of our total workforce that is out in the country, whether it's in Hawaii or Minnesota or Florida, these are field technicians, professionals who vet solar systems that we buy that are operating or help manage the process of constructing assets. We've been very focused on hiring more professionals on the construction, engineering and sort of physical asset management side, like we talked about, because the number of assets that we have in operation is growing significantly and the number of assets we have in construction. And I think, as you heard to say, we're basically going to be constructing solar storage and fleet charging for CBRE and others in other locations whether it's Europe or Canada. And so that's going to require people in the ground there as well. The limiter on our growth is that we are really focused on remaining profitable. It's important to us that at every step of the way here, we're able to show the market and investors that we can build an attractive business in an attractive space, but still generate cash flow from doing that. And so that's the comment I would make on, on employees.
Ryan Levine: Thanks. And then in terms of the switch gear and transformer resource strategy, where are you today from an inventory perspective and where do you hope to be able to get to within the next year?
Lars Norellco: It's a great question. And so what has perhaps been a temporary delay on delivery timelines for certain switch gear in transformers and other things there is a risk we think that utilities around the country will begin to upgrade their grids. And so the scarcity of those types of components, which not only go to solar and storage systems, but also into the grid itself will just remain a secular dilemma. We have, we think a better starting position than many others because we have great relationships with big makers of this equipment that we've been buying for more than a decade. And we pay bills on time and we're flexible when it comes to the exact specifications of what we receive, but we've begun the process of doing two things: a) we are buying into inventory. So we now own some switch gear that do not have a solar system that they are specifically purchased for they are switch gear that we think, or know we can put into solar systems as they get ready to be constructed. The second thing we're doing is working hard on the design to seek, to eliminate some of the components that have the longest lead times. You can do that by effectively building the solar system in a more sort of sleeved fashion that obviate the need for major switch gear to be the final point of connection into the grid. And that's something we're studying closely and have been able to do a little bit of already, because it's important to us that we don't remain beholden to some 40 weekly time for items that we need to complete our solar system. So we're basically all over that in trying to make sure that that does not remain a bottleneck for Altus.
Ryan Levine: Do you know how many companies for sure switched gear from, and is it concentrated mostly from a supply chain management with one particular provider?
Gregg Feltonco: No, there is more than one provider. Obviously this is an example for everyone's benefit of components that have basically always been sourced from the U.S. itself or North America, and to some extent, Europe. So we're not relying on some sort of far-flung supply chain issues here. These components are all made in the Europe and the U.S. However, they include, excuse me, they include components that may be sourced from Southeast Asia. And so we have a number of suppliers, some are bigger to us than others. But I would say more than a handful of companies who are able to make the sort of switch gear and transformers that we use in our solar systems. 
Ryan Levine: Great. Thanks for the color.
Lars Norellco: Thanks Ryan.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session, and that does concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.